Operator: Good day, ladies and gentlemen, and welcome to the Amkor Technology Third Quarter 2021 Earnings Conference Call. My name is Hillary, and I will be your conference facilitator today. At this time, all participants are in a listen-only mode. After the speakers' remarks, we will conduct a question-and-answer session. As a reminder, this conference is being recorded. I would now like to turn the call over to Jennifer Jue, Head of Investor Relations. Ms. Jue, please go ahead.
Jennifer Jue: Thank you, operator. Good afternoon, everyone, and thank you for joining us for Amkor's third quarter 2021 earnings conference call. Joining me today are Giel Rutten, our Chief Executive Officer; and Megan Faust, our Chief Financial Officer. Our earnings press release was filed with the SEC this afternoon, and is available on the Investor Relations page of our website, along with the presentation slides that accompany today's call. During this presentation, we will use non-GAAP financial measures, and you can find the reconciliation to the U.S. GAAP equivalent on our website. We will make forward-looking statements about our expectations for Amkor's future performance based on the environment as we currently see it. Of course, actual results could differ. Please refer to our press release and other SEC filings for information on risk factors, uncertainties and exceptions that could cause actual results to differ materially from these expectations. Please note that the financial results discussed today are preliminary, and final data will be included in our Form 10-Q. And now, I would like to turn the call over to Giel.
Giel Rutten: Thanks, Jennifer. Good afternoon, everyone, and thank you for joining the call today. We delivered outstanding financial results in the third quarter with record revenue of $1.68 billion and record profitability. Strong execution, high factory utilization, and controlled spending resulted in record quarterly EPS of $0.74. When combined with the strong first half results, we generated $1.74 of EPS in the first three quarters, doubling last year performance in the same period. Revenue was up 24% year-on-year and 20% sequential growth comes on top of an excellent second quarter. Continued momentum drove record performance in all end markets, most notably in communications and consumer, where we saw sequential revenue increases of 28% and 22%, respectively. Our communication business grew 24% year-on-year, representing 43% of total quarterly revenue. The main driver for growth here is the strength in the smartphone market, particularly in 5G with current industry forecast of nearly 500 million 5G-enabled smartphones to be built this year. We expect 5G to remain an important growth driver and we continue to invest in technology and manufacturing scale to support our customers in these growing markets. In the automotive and industrial market, we achieved another quarterly revenue record with sequential growth of 9% and year-on-year growth of 42%. The growth underlines the strong recovery in this market, although supply chain constraints, especially in wafer and substrate supply dampened further growth. The strong recovery of our automotive business is mainly due to significant ramp of new products in this domain, particularly supporting the rapid proliferation of ADAS functionality and the accelerated electrification of car models. Amkor is well positioned to support these innovations with solid technology portfolio and an established automotive qualified manufacturing base. In ADAS, we are ramping the assembly of the latest generation processors using our advanced flip chip technology, and the portfolio of radar and optical sensors using wafer-level fan-out technology. For electrical vehicles, we are enabling the assembly of high-power silicon carbide devices in our Japan factories, utilizing unique wirebond and leadframe technology. Although we foresee some short-term and mid-term constraints in the automotive supply chain, we believe the long-term growth drivers in this market remain in place, resulting in the continued expansion of semiconductor content per car. Market forecasts show growth rates in the automotive market that exceeds the average semiconductor industry growth. Strength in the consumer markets resulted in a better-than-expected sequential increase of 22%. We continued to diversify our product and customer portfolio in IoT wearables and we ramped several new products in the third quarter. We expect this market to be an important driver of growth, and our overall product and customer pipeline for advanced SiP solutions in this sector remains strong. Revenue in the computing market set another quarterly record with sequential growth of 9% and year-on-year growth of 28%. Further upside was tempered by constraints in material supply, especially high-end substrate materials. During the quarter, we experienced solid performance in all computing applications and a further strengthening of our project pipeline. We continue to invest in technology and manufacturing scale to capitalize on opportunities in emerging segments like AI and high-performance computing. Finally, our test business grew 19% year-on-year in the third quarter to a record $225 million, as we broadened the scope of our test services for 5G communications and system level testing. Our manufacturing organization did an excellent job managing the steep production ramp in the third quarter, most notably for advanced packaging in our factories in Korea. During the quarter, we added capacity and ramped several new products while working through obstacles in the supply chain caused by COVID restrictions and supply constraints for material and equipment. We worked closely with our suppliers and customers and managed to keep the impact limited, although we experienced some revenue impact for our SiP business due to short supply of critical ICs. We expect the constraints in material and equipment supply to continue into next year. To mitigate risk, we have expanded agreements with several of our suppliers as well as most of our top customers to warrant the better supply assurance in future periods. In the U.S., we continue to monitor investment policies to incentivize domestic semiconductor manufacturing, and we are exploring a possible factory location to align with the U.S. investments of other major semiconductor companies. Our CapEx target for the year remains at $775 million with major investments for wafer level and flip chip technology, SiP and test capacity, as well as facility expansions. Now let me turn to our fourth quarter outlook. We are expecting the fourth quarter to be another solid quarter with revenue of $1.64 billion at the midpoint of our guidance. This represents a year-on-year increase of 20% for both the quarter and the full-year. For 2021, we expect double-digit percentage growth in all end markets and we remain confident in our strong market position and the overall demand environment. Megan will now provide more detailed financial information.
Megan Faust: Thank you, Giel, and good afternoon, everyone. Amkor delivered strong financial results in Q3, setting new records for revenue, gross profit, operating income, EPS, and EBITDA. Third quarter revenue of $1.68 billion was up $274 million or 20% from the second quarter. And as Giel noted, all of our end markets set new revenue records. During the quarter, we successfully navigated through several disruptions in the supply chain, specifically material constraints for wafers, substrates, and components. These disruptions primarily impacted the communications end market, where our growth was hindered, but still in line with historical seasonality. This was partially offset by upsides in our consumer advanced SiP portfolio for IoT wearable products. Revenue for advanced products grew 26% sequentially and represents around 70% of our business. This significant growth is driven by new product introductions, primarily in advanced SiP, supporting the communications and consumer end markets. Our revenue from mainstream products grew 4% sequentially and 27% year-on-year, principally due to recovery in the automotive market. With high levels of utilization, gross margin expanded 150 basis points year-on-year to 19.3%, and our gross profit of $325 million is an all-time record. Operating expenses for the quarter came in as expected at $113 million. Our focus on controlling OpEx during a period of significant growth contributed to record operating income of $211 million. Operating income margin expanded 160 basis points sequentially to 12.6%. Net income for the quarter was $181 million, resulting in an all-time record EPS of $0.74. We generated record EBITDA of $358 million in Q3, and EBITDA margin was 21.3%.  Shifting to the balance sheet. We ended the quarter with $790 million of cash and short-term investments and total liquidity of $1.2 billion. At September 30, total debt was approximately $1 billion and our debt-to-EBITDA ratio is 0.8x well below our target of 1.5x. With respect to our capital allocation policy, we will reinvest in the business supporting technology and capability advancements in R&D as well as capacity expansion for organic growth. This may be equipment as well as facilities expansion when needed. Target capital intensity in the low teens and efficient utilization enables profitable growth. We will continue to optimize our debt structure with respect to amount, cost and duration. We have reduced our interest expense by over 20% or $11 million for the nine months ended September 30 compared to the same period in the prior year. We also have access to reserve liquidity for unforeseen events or opportunity. As it relates to strategic investments, we target technology enhancements adjacent to our core competencies and geographic diversification supporting our customers supply chain needs, for example, in the U.S. or other locations that are developing a semiconductor supply chain. Returning capital to shareholders remains a priority, and we expect to grow the dividend over time. Our solid financial position provides flexibility to achieve these priorities. Moving on to our fourth quarter outlook. We expect continued strength in the market with revenue to be between $1.59 billion and $1.69 billion. Considering the midpoint of our Q4 guidance, 2021 revenue growth is estimated to be around 20% over prior year. Gross margin is expected to be similar to Q3 between 18% and 20.5%. We expect to maintain operating expenses at around $115 million. We expect our full-year effective tax rate to be around 15% due to discrete tax benefits and favorable foreign currency movement. Q4 net income is expected to be between $140 million and $190 million, resulting in EPS of $0.55 to $0.75. Our forecast for capital expenditures for the full-year remains at $775 million for a capital intensity in the low teens. With that, we will now open the call up for your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Randy Abrams of Credit Suisse. Please state your question.
Randy Abrams: Okay. Yes. Thank you. Good evening. And good job on results, especially factoring the supply constraints. I wanted to ask on the fourth quarter guidance where at the midpoint is a small revenue decline. Could you elaborate – some years, I think it's flat plus or minus. For fourth quarter, how much of that is a supply constraint impacting sales versus – I'm curious if you're also seeing any areas of push out due to customers also facing some mismatch shipping product. So, if you could elaborate a bit on the sequential decline granted off a high base in the third quarter?
Giel Rutten: Hi, Randy. This is Giel. Let me here try to give you a first flavor of Q4 guidance. Fourth quarter for Amkor generally is a little bit up or down. It can be up a few percent or down a few percent. The guidance is currently 2% down. Mostly, we see correction in the communication market, where we see still some constraints in components, specifically also critical ICs. I don't see a correction, as you mentioned, in the end market, where, let's say, end customers are correcting their build plans based on imbalance in the supply chain. So to me, it's still a continuation of the third quarter with limited supply of specific ICs.
Randy Abrams: Okay. And if you could elaborate on constraints, you talked about a couple in the remarks, but auto, the constraints you're seeing in the – and if you could give a look at how you see the constraints evolving. So I think auto was one area, high-end substrate was an area, and if you could elaborate more on the constraints in ICs. Are these mostly small IC like power management or is it across different ICs? So yes, if you could elaborate a bit on the constraint and how you see it continuing looking forward as we go into next year?
Giel Rutten: Okay. No. The way that we see and experience constraints is slightly different in each market segment. If you take for example, the automotive market, we observed the constraints in the beginning of the year was mostly wafer constraints. Later on in this year, Q3, Q4 and also into next year, we see constraints continuing, but then shifting more on the substrate side, specifically the higher-end substrates in automotive applications like ADAS, which is generally designs and advanced silicon nodes. We here observe constraints there and the basis is the same for the computing market. Now on the communication markets, however, we see multiple different dynamics. There, we see for our SiP business, a continued shortage of specific components or ICs. And as you already mentioned, these are ICs which are, let's say, smaller ICs generally designed in the more mature nodes and that we see here continue in the fourth quarter.
Randy Abrams: Okay. And if you could give an initial view – I mean you mentioned it's mostly supply side, not demand side. Is there an initial view – well, I'm sure we'll get more detail in a few months, but for first quarter, how it's looking if it looks like factoring the supply demand you could see above seasonal first quarter, and then how you're viewing next year in terms of the overall environment; if you're expecting good year, still supply constrained year or – and I'm curious on the risk side if you see any areas where inventory is building up like components that are more available, but needing to slow that down.
Giel Rutten: Well, we don't guide for, let's say, the first quarter next year or even beyond that, Randy. But on the inventory and supply situation, there is some short-term inventory build-up because of some of the components constraints, and that would result in some build-up of inventory of other components. Although our view is that that's still a small effect in the overall supply chain, we also see end customers being less conservative on holding more inventory. So, we expect that based on their risk management, overall inventory during the year will continue to increase. On the supply side, on the wafer supply side, I believe that there the constraint will ease in the first half of the year. On the substrate supply side, it may take a little bit longer. I mean significant investments are made for substrates supply, let's say capacity increases. But that will, in my view, only come onstream towards the fourth quarter of next year. So in short, I mean, I don't see significant inventory buildup and some of these constraints will ease a little bit in the second quarter and some of them will continue till the fourth quarter next year.
Randy Abrams: Okay. Thank you. And one last question I'll ask. I'm curious if SiP business driver, if it's – I think traditionally, that consumer SiP with audio. If that's still a big driver or if you could give a profile of SiP like how much now, it looks like it's growing this year? And the profile, if you could talk a bit more about this pipeline and how it looks for continuing to grow the SiP opportunities?
Giel Rutten: Yes, our SiP opportunities now in the third quarter, we saw significant strength in SiP. On the communication side, it was slightly moderated because of the supply side constraints that I mentioned before. On the consumer side, it was strong. Although, also there, we see some constraint, but it is -- we have significant strength on the consumer side. We believe that to continue. We see also a diversification on the product side, both on the communication as well as on the consumer side. And SiP, more broadly is also entering applications like automotive, where we have strength specifically on the digital, let's say, dashboard side. So, multiple applications, strong product pipeline, and in our view, it's a growth engine going forward.
Randy Abrams: Actually an update like maybe one more just on the margin implication. If it looks like from a capacity perspective, you're running near full. With the gross margin now kind of where you're operating at this level, fairly high, 19%, 20%, is that viewed as kind of a –that high point, or you could say like up cycle margin, business remains healthy or is there a room like if we have a good year for some further margin leverage?
Giel Rutten: I leave it to Megan.
Megan Faust: Hi, Randy. Yes, I can take that, Randy. So with respect to gross margins being at 19%, 20%, while we're operating at high utilization, we do have still some capacity, specifically, in our Japan location. So there is some upside there. And then the only other comment I would make is one of the other variables besides utilization that does impact gross margin percentage is product mix, so with respect to that mix of products that can have an impact on gross margin percentage, where we would have, could have some upside as well.
Randy Abrams: Okay. All right. Great. Thanks. Thanks, Megan and Giel.
Giel Rutten: Thank you.
Operator: [Operator Instructions] Our next question is from Art Winston of Pilot Advisors. Please proceed with your question.
Arthur Winston: Thank you for the really great results and the great outlook. I have two questions. The first one is, given the very sharp increase in the material costs, what about the possibility of raising selling prices to offset these sharp increases in the materials?
Giel Rutten: Well, let me answer that. We mentioned it also earlier on in previous calls. The general arrangements that we have with our customers is that cost increases on the material side are factored in the prices to our customers. So if our material cost is increasing, specifically for substrates what we're seeing now and also other materials, then we factor that in into adjustments to pricing to our customers.
Arthur Winston: It's factored in? Okay.
Giel Rutten: No, no. It will be factored in if it continues to go up, prices to customers will also go up.
Arthur Winston: Will be, okay, good. Megan touched on the last one. Other than in Japan, is the utilization rate pretty much high across every place else, except perhaps in Japan?
Giel Rutten: Yes.
Megan Faust: Go ahead, Giel.
Giel Rutten: Yes, I mean, third quarter, fourth quarter, for Amkor, our peak quarters. There were some areas that are still some under utilization. Megan already mentioned that in Japan. But overall, we have a very strong utilization across our factories.
Arthur Winston: Good. And my last question is in terms of the automotive, if the supply congestion were to ease, should we assume that your automotive shipments will be sharply higher correlating with the increased amount of car builds across the world? Would that happen?
Giel Rutten: Well, in the quarter, in Q3, we saw...
Arthur Winston: No, I'm talking probably about going forward, not in…
Giel Rutten: Going forward?
Arthur Winston: Yes.
Giel Rutten: Yes, I think in my view, but still not at the peak of our automotive business, if you take for example applications like ADAS or digital dashboards or in-car networking, it’s still in the early beginning. So it's not only the car volumes, but it's also the attach rate of these advanced functions into the car, and what we believe is that there is an acceleration in the car markets for two elements. First is ADAS, but also electrification of the cars is increasing, much steeper curves than what was expected two years ago. So it will continue to increase. And as mentioned, we believe that the semiconductor content per car and the overall semiconductor market and automotive is growing faster than the average semiconductor growth rate.
Arthur Winston: We could assume that the product mix would be more profitable for the more advanced and complex electrification products that you're making going forward, it will be more profitable?
Giel Rutten: Well, we have pockets that are more profitable than others, but that will be a correct assumption.
Arthur Winston: Okay. Again, thank you for everything.
Operator: Our next question is from Vijay Rakesh of Mizuho. Please proceed with your question. Vijay, are you there?
Vijay Rakesh: Yes. Sorry, I was on mute. Hi, Giel and Megan. I was wondering on the auto industrial side, what's your split within that of auto industrial and when you look at auto side, and you mentioned ADAS and electrification. Just wondering how – what percent of your automotive was geared to ADAS and EV?
Megan Faust: So Vijay, we don't break out auto, and industrial separate. However, the majority of that market is automotive. And then with respect to your second question, it was specifically asking about the concentration of ADAS in our automotive.
Vijay Rakesh: Yes. ADAS and EV.
Megan Faust: Yes. So we don't breakout ADAS, EV. We also have a significant amount of infotainment in automotive and then as a reminder, all of that traditional and mainstream business is in automotive. We are seeing significant increase in the advanced portion of automotive, but we don't break out those segments separately. This quarter we did see an increase in ADAS from the prior quarter as well as in electrification.
Vijay Rakesh: Got it. And as I look at Q4, December quarter, in terms of the mildly softer 2% down, I guess. How would you look at auto industrial and the comm side into Q4? I know you mentioned comm had some, I guess, constraints, but how would you look at auto, industrial and the comp side trending into Q4? Thanks.
Giel Rutten: Megan, do you want to comment on this?
Megan Faust: Sure. Yes. So automotive, we're seeing more flattish in Q4, so continued strength despite the supply chain constraint and communications is where we are seeing a decline in Q4 and as Giel mentioned previously, that we are seeing continued shortages in specific IC components and it is fairly historically seasonal to see a downtick in communications in Q4, given the timing of the different phone launch cycles.
Vijay Rakesh: Got it. Thanks. Thanks so much.
Giel Rutten: Thanks, Vijay.
Operator: At this time, I'm showing no further questions. I would like to turn the call back over to Giel for closing remarks.
Giel Rutten: Okay, thank you. Well, before closing the call, I would like to recap our key messages. For the third quarter of 2021, we delivered all-time record revenue of $1.68 billion and record EPS of $0.74. For the fourth quarter, we expect robust year-on-year growth of 20% with revenue of $1.64 billion. Supply chain constraints of substrates and components are expected to continue into Q4 and into the next year. We expect a gradual recovery in the second half of next year when new capacity comes online. We are working closely with our customers and suppliers to help mitigate risks from these ongoing constraints. The main catalyst for future growth, our 5G, IoT, automotive and high-performance computing and Amkor is well positioned in these key markets. Last but not least, I would like to thank the global Amkor team for delivering this record quarter. Thank you for joining the call today.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect and have a wonderful day.